Operator: Welcome to the Jabil's Fourth Quarter 2016 Earnings Conference Call. [Operator Instructions]. Thank you. I would now like to turn today's conference over to Beth Walters, Senior Vice President of Communications and Investor Relations. Please go ahead.
Beth Walters: Thank you so much. Welcome to our fourth-quarter and FY '16 earnings call. Joining me today are our CEO, Mark Mondello and our Chief Financial Officer, Forbes Alexander. This call is being recorded and it will be posted for audio playback on the Jabil website, Jabil.com, in the investor section. Our fourth-quarter and fiscal-year press release, slides and corresponding webcast links are also available on our website. In these materials, you will find the financial information that we will cover during this conference call. We ask that you follow our presentation with the slides on the website, beginning with slide 2, our forward-looking statement. During this conference call, we will be making forward-looking statements including those regarding the anticipated outlook for our Business, our currently expected first quarter of FY '17 net revenue and earnings results, the financial performance of the Company and our long-term outlook for the Company. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual results and outcomes to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for the fiscal year ended August 31, 2015, on subsequent reports on Form 10-Q and Form 8-K and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today's call will begin with Mark, with his comments on our outlook for the Business in FY '17. Forbes will follow with comments on our fiscal quarter and year-end results and guidance for the first quarter of 2017. Following our prepared remarks, we will open it up to questions, as the operator mentioned, from all call attendees. I'll now turn the call over to Mark.
Mark Mondello: Thanks, Beth. Good afternoon. I appreciate everyone taking time to join our call. As always, a special thanks to our wonderful people here at Jabil. Not only do they continue to take great care in serving our customers, but they do so while keeping our employees safe each and every day as a first priority. For me, it's truly an honor to lead a team that's just so capable and always so focused. I'll begin today by addressing our fourth-quarter results and also reflect back on the year. For the quarter, our EMS, packaging and healthcare businesses performed extremely well, in terms of both revenues and margin. At the same time, our Green Point business navigated some very complicated, technically challenged program ramps. I'm happy to share that collectively, these efforts in aggregate resulted in $0.28 of core earnings per share on revenues of $4.4 billion, well in line with our expectation. Forbes will provide more detail around our results and speak to our forward guidance shortly during his prepared remarks. But first, as I look back at the many accomplishments during this past year, I find it noteworthy to highlight just a few. Our EMS team expanded core operating margins by 60 basis points year on year to 3.4%, truly a terrific accomplishment. Our packaging team and our healthcare team performed to plan. This is yet another illustration of the demonstrated value proposition Jabil brings to these strategic, broad-based end markets. Also during the fiscal year, our Green Point team delivered an outstanding first half, followed by a most difficult, heavily challenged second half. When I think about our Green Point team and what was asked of them during this past year, I think about a team that exhibits what I would call optimal responsiveness at scale. As a Company, we're most fortunate that this unique Green Point trait was alive and well during the year, as the team did an incredible job managing what was in their control. Most notably, our expanded Jabil team did a solid job of managing costs and running the Business effectively throughout the year. This is evident by the impressive Net Promoter Scores earned across the Company from our customers. In closing out my comments for this past year, I also want to acknowledge the critically important contributions made by our corporate support teams and our subject matter experts across the globe. Inclusive in these contributions are the select capabilities and solutions throughout the Enterprise which I believe are foundational to our success over the next 2 to 3 years. Let me now look ahead to FY '17. I'll start with something I said 90 days ago. During our June call, I estimated our EMS business would grow 3% to 4% in terms of core earnings year on year, when comparing the first half of FY '17 to the first half of FY '16 As I sit today, I'm pleased to communicate that our EMS business will likely grow 5% to 6% in terms of core earnings for the full year FY '16 to FY '17. Additionally, I believe the team will deliver core operating margins of 3.4% to 3.5% for the year. The scale and product diversification of our EMS business allow for a more stable and predictable backbone to Jabil's core. Next I'll break down our DMS business as we see it for the year. Our packaging and healthcare businesses are strong and continue to accelerate. I believe both will grow 15% year on year in terms of core earnings. As you know, our Green Point business is one of a select few high precision mechanics solutions provider for the mobility market. In addition, our relationship with Apple remains very strong, with consistency in market share and ongoing trust and transparency. So when I think about the Company in totality, I think about how the first half of the year might shape up. I'd assume a 25% to 30% decline quarter on quarter, Q1 of 2017 to Q2 of 2017, when modeling core operating income for the first half of the year, very similar to what we saw last year. Additionally, Forbes and I believe that our free cash flow for the year, FY '17, will be roughly $2.50 a share. In summary, given that our financial results are highly dependent on product acceptance and sell-through in the mobility market, we'll refrain from providing full-year guidance at this time. Segueing to a different topic, Management has decided to further optimize our global footprint, as well as remove and redistribute a material percentage of our overall SG&A. These actions are integral to our long-term strategy and direction. Costs associated with this activity will be $195 million. Approximately $50 million of the $195 million will be a cash expense. Forbes and I believe the payback will be very efficient, cash on cash and contribute to maximizing our cash flows in the coming 2 to 3 years. Again, Forbes will provide additional detail during his remarks. Lastly, for the capital return framework we laid out during our June call, I expect shareholders to realize the full $1 billion in capital returned by the end of FY '18, as committed, based on our current outlook. In closing and before I turn the call over to Forbes, I'd like to offer a brief preview of what you'll hear and see next Tuesday during our Analyst and Investor Day. Management is excited to share a deep look into our Business. The day will be celebratory in nature, as we cheerfully and appropriately recognize our 50th anniversary. But the key substance of the day will be to offer you a comprehensive understanding of where we're headed, why we're heading there and how we'll get there. My wish is for you to gain a deeper appreciation of the creativity, the strength and the entrepreneurial nature of our leadership team. I hope you'll also get a clear sense of the positive impact of our structure, a structure which openly encourages and to some extent ignites, the combination of speed and agility, assuring this always occurs where it matters most, at the touchpoints of the customer. Forbes will wrap up the day on Tuesday by sharing our economic groundwork, a foundation which thoughtfully considers product road maps and anticipates our future positioning with customers. Metaphorically, the speed of digital is present in all we do here at Jabil and underpins our decision making. If you move slow in today's environment, chances are you're going to become obsolete. To say we're transforming the Company through innovative solutions would be accurate. The output is evident in the form of strategic pockets of double-digit growth across the Company. As a team, we come to work every day with a goal, a common goal, a goal to make Jabil the most technically advanced manufacturing services company in the world and do so by becoming more and more relevant for our customers, while delivering consequential value to our shareholders. Today, I like what I see. Jabil is resilient. We have proven resiliency. That matters and it really matters over the longer term, 50 years of doing what we do and doing it really well. Thank you. I'll now turn the call over to Forbes.
Forbes Alexander: Thank you, Mark. Good afternoon, everyone. I'd like you to turn to slides 3 and 4, please, where I'll review our fourth-quarter and FY '16 results. Net revenue for the fourth quarter was $4.4 billion, a decrease of 5% on a year-over-year basis. GAAP operating income was $94 million, while GAAP net income was $38 million. GAAP net diluted earnings per share were $0.20 for the quarter. Core operating income excluding the amortization of intangibles, stock-based compensation and restructuring charges was $108 million and represented 2.4% of revenue. Core diluted earnings per share were $0.28. For the year, net revenue was $18.4 billion, an increase of 3%. GAAP operating income of $523 million, with GAAP net income of $254 million. GAAP net diluted earnings per share was $1.32 for the full fiscal year. Core operating income excluding the amortization of intangibles, stock-based compensation and restructuring charges was $630 million or 3.4% of revenue, while core diluted earnings per share was $1.86. I'd now like to discuss our fourth-quarter and fiscal-year segments which can be seen on slides 5 and 6. In the fourth quarter, revenue for our diversified manufacturing services segment was approximately $1.63 billion, a reduction of 14% on a year-over-year basis and represented 37% of total Company revenue. Operating income was 10 basis points. Our electronics manufacturing services segment revenue was $2.8 billion, an increase of 1% on a year-over-year basis and represented 63% of total Company revenue. Operating income for this segment was 3.8%, reflective of continued outstanding operational performance. Now turning to the full fiscal year, where our diversified manufacturing services segment revenue was approximately $7.3 billion, an increase of 3% on a year-over-year basis and represented 40% of total Company revenue. Operating income for the year was 3.5%. Our electronics manufacturing services segment revenue was approximately $11 billion in the year, an increase of 2% on a year-over-year basis and represented 60% of total Company revenue. Operating income for this segment was 3.4%, an improvement of 60 basis points over the previous fiscal year. For the full fiscal year, we had one customer with revenues in excess of 10%, that being Apple at 24%. Now turning to some key metrics that you'll see on slide 7, we ended the fiscal year with cash balances of some $912 million. Net capital expenditures for this fiscal year totaled $898 million and supported our previously planned capacity and capability expansions. The fourth fiscal quarter was reflective of very strong cash flow from operations, totaling some $428 million, this bringing full-year cash flows from operations to $916 million. Core EBITDA for the full year is approximately $1.29 billion, representing 7% of revenue and we exited the year with debt-to-EBITDA levels at 2 times. Our core return on invested capital for the full fiscal year was 14.8%. At our last earnings call, I discussed the capital return framework, where we laid out a plan to return 40% of cash flows from operations via dividends and share repurchases through FY '18 and at the same time, the authorization of $400 million for stock repurchase program. Under this program, during the fourth fiscal quarter, we repurchased approximately 4.9 million shares at a total cost of $94 million and plan to continue to utilize the balance of the $400 million program through FY '17. Before discussing our first fiscal quarter guidance, I'd like to take a moment to discuss actions we're undertaking to enhance our organizational efficiency and effectiveness. Specifically, we have initiated headcount reductions across our SG&A cost base and capacity realignment activity in high cost capacity locations. Based upon current estimates of timing of actions, this will result in some $20 million to $30 million of cost savings being realized in FY '17 and once fully complete, annual savings in the range of $70 million to $90 million. If you turn to slide 9, I'll discuss the estimated timing of these actions. We currently estimate that the realignment actions shall result in approximately $195 million of charges, of which we estimate $50 million to be cash. Based upon current estimates of timing, we expect charges to be recognized over the next two fiscal years. In FY '17, total charges are currently estimated to be in the range of $120 million to $150 million, of which we estimate the cash portion to be $25 million, with the balance of charges and cash component to be incurred in FY '18. Now turning to our first quarter of FY '17 on slide 10, the diversified manufacturing services segment is expected to decrease approximately 12% on a year-over-year basis, with revenues estimated to be approximately $2.2 billion. The electronic manufacturing services segment is expected to remain consistent at $2.7 billion. We expect overall revenue in the first quarter of 2017 to be in the range of $4.8 billion to $5 billion, a decrease of 6% at its mid-point on a year-over-year basis. Core operating income is estimated to be in the range of $175 million to $225 million and a core operating margin in the range of 3.6% to 4.5%. Core earnings per share are estimated in the range of $0.54 to $0.74 per diluted share and GAAP earnings per share expected to be in the range of $0.05 to $0.36 per diluted share. In closing, I'd like to share some overall outline for the full fiscal year, as it relates to our cash flow expectations for FY '17 and beyond. As we discussed on our last earnings call, we expect capital expenditures for FY '17 to be in the range of $500 million to $600 million. Cash flows from operations are expected to be in excess of $1 billion, supported by our demonstrated disciplines around working capital management. In short, we're extremely well positioned to deliver on our commitment of returning 40% of cash flows from operations or up to $1 billion to shareholders by the end of FY '18. And I'd now like to hand the call back to Beth.
Beth Walters: Great. Thanks, Forbes. Before we begin the question-and-answer session, I would like to remind our call participants that, as customarily, we will not address any customer- or product-specific questions. I know you all are very good at participating in helping us stay within the confines of that, but we've been asked by our customers not to talk directly about their products in the marketplace. Thank you. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Mark Delaney of Goldman Sachs.
Mark Delaney: The first question is on the DMS segment, on the piece that's outside of Apple. So I think you disclosed Apple was 24% of revenue in both FY '16 and FY '15 as well. So I've always assumed that Apple is reported within DMS and DMS grew 3% and Apple stayed the same percent. So it seems like maybe there's other things within DMS that are growing in that sort of low single-digit range or even below, given the growth you're getting in packaging and medical. So I was just hoping you could help me understand what the different pieces are outside of Apple within DMS for growth rates?
Mark Mondello: So DMS is really comprised of our Green Point business and then packaging and healthcare. So as I said on my prepared comments, as we sit today, the healthcare business, the packaging business, it has a little bit longer product life cycles. Business tends to be a little bit more stable, somewhat more predictable and it's those three components that make up DMS. And I think I said in my prepared comments that year-on-year, our healthcare and packaging business in the aggregate or combined, will grow in the neighborhood of 15% in terms of core earnings from 2016 to 2017.
Mark Delaney: And maybe, if you could help me in terms of the November quarter guidance? The implied EBIT margins for the November quarter, if you assume that EMS stays in the mid to high 3% range, then the DMS segment EBIT margins are probably something closer to kind of 5%, versus 6%, 7% in the November quarter last year. Is that sort of thinking right? And maybe you can just talk about what some of the margin pressures may be on a year-over-year basis for the November quarter in the DMS segment?
Mark Mondello: Yes, again, what we're finding based on kind of shaking up, shaking up and throwing all of the customers on the table that we serve in the EMS business and it's extremely diverse, we're finding that business -- a little bit to our surprise, but it's more cyclical than we would have thought. It was cyclical last year. Last year if you look at Q1 in EMS and how it trended up through the year, I think a curve like that is appropriate for 2017. So I think modeling our EMS business maybe in the low 3%s in Q1 and then aggregate it up sequentially over the year would make sense and that would give you kind of a DMS margin in Q1 around 5% and I think that's appropriate. And I wouldn't really consider it so much margin pressure as I would -- you take a look at kind of Q1 of 2016 to Q1 of 2017, revenue is down a bit. So it's not so much margin pressure. And as I mentioned in my prepared comments, overall, the relationship with Apple is strong and that would include kind of the overall economic framework we used with that customer.
Operator: Your next question comes from the line of Steve Milunovich with UBS.
Steven Milunovich: There was a comment about more moderate growth environments. Is it more moderate than you previously expected or you're just saying that we're continuing to be in a moderate growth environment and therefore you're taking costs? And maybe just use that question to talk about the macro, Brexit and so forth?
Mark Mondello: I might have missed it, maybe Forbes mentioned it. I didn't say anything about more moderate growth. But I'll jump on the question anyway. I think there's a little bit of a dislocation between the current U.S. markets and what we're seeing. In no way do I think our overall macro global environment is strong. I think the business is -- I don't know if I'd call it difficult, but let's just say kind of slowish. So I don't know if I'd characterize everything as modest or moderate. I think about, if we were to chop our business up into pieces, I think about a third of our business is growing in terms of double-digits, so pretty frothy. About a third of our business is growing at GDP like, maybe a little greater and then a third of our business is growing at GDP, to somewhat declining. So I think that would kind of characterize our business. And that's not really attached to DMS or EMS. It's just kind of looking across the 220 or 240 customers that we serve and the end market demand. But overall, again, we're not guiding for the year. But some of the commentary, I talked about with healthcare and packaging, EMS and then the first half I gave you, you should be able to dial your model in. And again, I think you can conclude from that, that 2016 to 2017 will be a modest growth on the top line. \
Steven Milunovich: Okay. You did give free cash flow guidance for the year of $2.50, but not EPS. I assume that's because of the Green Point volatility. Is that the case? And do you think you're within a quarter or so of having a better handle on that?
Mark Mondello: I don't know. We'll talk about it more in the December call. And the $2.50 I gave in free cash flow, just for clarity was not $250 million, it was $2.50 a share. I don't know what the math comes out on that, but that's probably $475 million to $500 million of free cash flow for the year.
Operator: Your next question comes from the line of Brian Alexander with Raymond James.
Brian Alexander: Just following up on that, what gives you the confidence in providing the free cash flow outlook when you're uncertain about the sell-through trends at your largest customer and you're not giving earnings guidance? I guess, how could you give one without the other?
Mark Mondello: Yes, let me let Forbes answer that, Brian and then I'll add in if I have anything to add after Forbes addresses that.
Forbes Alexander: Yes, just given our demonstrated abilities to manage working capital, feel pretty comfortable with that guidance of $1 billion-plus of operational cash flow. And whilst we're not giving full guidance for the year, I think I'd remind everyone that with our business model, whether one sees volatility in terms of that top line that's contraction and working capital on the way down which releases cash and a very positive cash flow model for the Company. And then on the way up, if you will, particularly in our DMS business, you see the benefits of utilizing that asset base which obviously drives more EBITDA there. So again, either side of that, I feel very comfortable that we'll generate north of $1 billion of operational cash flow this coming year.
Mark Mondello: Let me add to that. So maybe one thing that would be a little bit helpful is on a sensitivity basis, take a look at FY '16. And I think we started the year thinking we would -- let me just give you kind of an illustration. Let's assume we started the year at thinking we'd do $750 million to $800 million in 2016. I think we ended the year about $630 million in terms of core operating income. So the sensitivity nature is, is with some variability and some uncertainty, you can have core operating income ebb and flow a significant portion of a percentage of the base. So you have $100 million coming off of $750 million, it's fairly substantial, but you look at the cash flow from operations last year. And it was still quite good and on a sensitivity model, if you take $100 million off of $900 million or $100 million off of $1 billion, it's just a little bit less sensitive based on how the business works, expanding and contracting working capital as Forbes had suggested. So if the whole world turned bad again on us the second half of 2017 which we don't expect, but if it did, would cash flows be affected? They would. But the sensitivity on earnings is much higher than it is on cash flows and therefore, we feel that it's reasonable to talk a bit about the cash flows. And we're going to defer the earnings for the year until later in the year.
Brian Alexander: Well, let me just follow up. It seems like your outlook implies DMS margins are going to be well below 5% in the first half, given what you said about Q2. And two years ago when DMS recovered, margins got back above 6% in the first half. So what's different now in the DMS business? What will it take to get margins back to the midpoint of your long-term range of 5% to 7%?
Mark Mondello: Yes, we'll talk more about that on Tuesday, Brian. What's different is, is we've taken a hard look at kind of what the landscape looked like in the first half of last year. And what we had as commentary, we're taking a look at what the landscape looks like right now and maybe being a bit more conservative in our forward-looking observations and guidance. The one thing I'd mention is, is I'm pretty pleased with the Q1 guidance. When you think about -- we haven't had too many $5 billion quarters in the history of the Company. I think if we executed to plan, Q1 of 2017 would only be the second quarter that we would have it $4.9 billion or $5 billion. And I think it would also only be the second time in the history of the Company, we had a quarter that delivered over $200 million or at $200 million of core operating income. But I think we're kind of looking at the landscape. We're aggregating up all the demand in front of us and we're offering up the best outlook or the most accurate outlook that we can.
Operator: Your next question comes from the line of Ruplu Bhattacharya with Bank of America-Merrill Lynch.
Ruplu Bhattacharya: The first one for Forbes, typically, fiscal 1Q, fiscal 2Q see higher DMS margins and then in the third and fourth quarter, you go into a period of investment. Do you think, Forbes, this year the level of investment that you may have to do in DMS could be higher than in prior years?
Forbes Alexander: We've been making significant investments over the last two fiscal years and the CapEx range that I gave in my prepared remarks is significantly less than these last two fiscal years. So no, we expect our CapEx this year to be in the range of $500 million to $600 million and feel very comfortable about that. We've taken our thinking in terms of -- as we see product transitions moving through calendar 2017 into account there, I'd say we've got some great scale and technical capability capacity in place and feel comfortable with that $500 million to $600 million range.
Mark Mondello: And Ruplu, one thing I would add to that is, we talked about a restructuring. The reason we're doing the restructuring is the payback on the activity, it's hard to ignore and I think it will be a very, very efficient payback. I think I said something like that in my prepared remarks. But nowhere in that restructuring are we anticipating or including any type of volume assets for our mobility space. And so, again, we're continuing to anticipate leveraging those assets in the back half of this year and as we move into FY '18.
Ruplu Bhattacharya: Mark, a follow-up question for you, could you just talk a little bit about the various end markets within EMS? And maybe just talk a little about what you're seeing in the networking telecom space, versus say, industrial energy, like which is growing more which is growing less, if you can provide any color on that?
Mark Mondello: Yes, I'll tell you what I'd prefer is, is I have some opinions on that, but we'll plan to cover that next Tuesday in a lot of detail and a lot of depth. Not only will I have some thoughts on that, but the gentleman who runs that for us and his entire team will offer up a comprehensive thought on networking, energy, telco, optics, etcetera.
Operator: Your next question comes from the line of Matt Sheerin with Stifel.
Matthew Sheerin: Just following up on your comments, Mark, regarding the infrastructure of the business going forward. So it seems like most of the cost cutting really is sort of administrative and SG&A, so just wanted to clarify that. And Forbes talked about $20 million to $40 million in cost savings in FY '17 and then $70 million to $90 million when complete. Is that primarily SG&A? When you say when complete, does that mean you'll get to that full number exiting FY '18?
Mark Mondello: Yes. So I'll break it up into two parts. Number one is, is I've been with the Company a long time. And any time we have to make decisions or we choose to make decisions around exiting individuals, it's a difficult decision. But it's a decision that aligns with our strategy. And in doing so, we, our priority, our first priority is treating our people with respect and dignity and so, I mention that, because there's individuals that have been impacted on the decisions. Breaking it up into two pieces, on the SG&A side, we continue to stress test and press ourselves on the five businesses that we run today and where do they stand in terms of resource and overhead as individual businesses relative to their end markets. And when we looked at that and then looked at the overall corporate costs that we had over the last six to nine months and we think strategically about where we're headed, we got after it pretty hard in terms of lots of discussions around, is there a little bit too much cost in the Company? Have we gotten a little bit too fluffy? Is it something where each business has resources in the right areas functionally? And that's what drove the SG&A side. Continuing on that, the payback on the headcount should be pretty quick. So we've actioned some of that already. I think most of the headcount actioning will be done in Q2 and Q3. So the payback on the headcount cash on cash will be fairly quick. If I talk about the second part of that which is really the infrastructure, networking footprint if you will and networking being kind of the nodes we have in our manufacturing. To kind of put that in perspective, we've got about $3.2 billion to $3.3 billion of PP&E in the Company today. So you can imagine as a manufacturer, we've got 180,000 people and we've got over $3 billion of PP&E. And so, I think it always makes sense to challenge ourselves and see, are all those assets required going forward, are we running them optimally, et cetera, et cetera? And so, to your point, on the balance, on the assets and the capacity, that will mostly be administrative clean-up at book and have a very, very small cash component to that. So again, for modeling purposes, for FY '17, I would think about a $20 million number. And then to Forbes' point on the $70 million to $90 million, I feel very, very good that that will end up being the savings. That will come through, again, headcount reductions, it will come through us repositioning some manufacturing from locations that maybe are more moderate in cost to lower cost. It will come from shadow costs. It will come from some general clean-up. And I would expect that we'll be at that savings run rate as we get to the back half of FY '18.
Matthew Sheerin: Okay. That's very helpful. And you've talked about basically having the capacity to support $20 billion to $21 billion in revenue, so is that unchanged here with these moves?
Mark Mondello: No, not unchanged at all. And in fact, the last 2, 2.5 years, we've invested a lot of money bringing Chengdu online. And part of this restructuring activity will be to repurpose some of our manufacturing, clean up some of our manufacturing and really focus on Chengdu as a central manufacturing hub for Asia and we're really, really excited about how that may look in future years.
Matthew Sheerin: And just real quick one for Forbes, could you give us a share count assumption for the next quarter with the guidance?
Forbes Alexander: Yes. It's about 189 million, 190 million shares.
Operator: Your next question comes from the line of Sherri Scribner with Deutsche Bank.
Sherri Scribner: Mark, the guidance for EMS of the 3% to 4% in the first half and then 5% to 6% for the full year seems to suggest some pretty significant acceleration of revenue in the second quarter and then into the second half of the year. Can you maybe talk through what's driving that acceleration? Is that new program wins? Is there some specific markets that you're seeing more strength in, maybe give us some more detail?
Mark Mondello: Sure, Sherri. Just to clarify, right? And maybe you understood it correctly, but just I want to be sure. So in the June call, what I said was, is that our EMS business, first half of 2016 to first half of 2017, we thought that business would grow at a core operating line 3% to 4%. What I'm saying now and on this call is, is that we think EMS year-on-year, so all of 2016 compared to all of 2017, will probably grow more like 5% to 6% in terms of core operating income. So last year, we did around $370 million I think in EMS. If you just struck a midpoint to that and said, okay, what Mark's saying is, is they did $370 million or so in 2016, multiply that by 1.055 and that would be a good barometer for FY '17 in terms of EMS. And then just roughly, if you layered in the four quarters revenue-wise to be similar to FY '16, I think that would be a reasonably good model. And then, what I said on top of that was, is for the entire FY '17, I thought that the core operating margins for EMS would be 3.4% to 3.5%.
Sherri Scribner: Okay. Sorry, I thought you said revenue. And then if you look at the restructuring actions, can you talk a little bit about, is that any one particular area, in terms of DMS or EMS?
Mark Mondello: No. If you did a scattergram on that, Sherri, it's really all over. And it really wasn't tied to, if you will, any specific businesses. I pulled my whole staff together for six months of meetings. We talked a lot about our three year strategy. And then, we had a lot of discussion from a geographic standpoint, from a cost standpoint, from where business was headed. And so, I wouldn't characterize it as one segment or another or one business or another. It's across the whole Company.
Sherri Scribner: Okay. And then, just quickly for Forbes. The stock comp number went down pretty significantly this quarter. How should we model stock comp for 2017? Thanks.
Forbes Alexander: Yes. It did come down pretty dramatically this quarter. Based on our performance, we're not going to see vesting. So U.S. GAAP forces one to write back that expense. So really as we're moving forward, I think I'd model somewhere in the region of $60 million for FY '17. Think of that roughly $15 million a quarter, something like that.
Operator: Your next question comes from the line of Amit Daryanani with RBC Capital Markets.
Amit Daryanani: I guess, two questions from me as well. Mark, you talked about this fiscal Q2 operating income dynamic of being down 25%, 30%. Could you just talk to me, when I think of the last few years, you've had a really good first half. And then in the back half, especially on the DMS side, operating income tends to fall off. Do you think it will be more of the same in FY '17 or could it be a bit more smoother this time around, in terms of what you see in the back half versus first half?
Mark Mondello: Right now, we're just not going to talk about the back half, Amit. And I appreciate and so understand your question. Could it be? Yes. Could it not be? Yes, but I think as we get to the December call, there's a lot of moving parts. I know you're really close to the mobility space. You can appreciate it. We'll have a better sense as we get to the December call, on how the back half looks.
Amit Daryanani: I guess maybe for you, Forbes. How do we think of D&A in FY '17? Because I suspect D&A, the delta between that and CapEx is going to be a nice free cash flow tailwind for you guys in 2017?
Forbes Alexander: Yes, absolutely. As I talked about $500 million to $600 million in CapEx, our D&A is running what, closer to $700 million, something of that nature. So, yes, a nice delta there and we think about that through 2018 also. So as I said, feel very comfortable with the free cash flow number that Mark discussed and cash flow from operations north of $1 billion.
Amit Daryanani: If I can just sneak one in, the cost savings from the take-out program, is that all going to be on the SG&A and the OpEx line and very little on the gross margins?
Forbes Alexander: There will be, I think the majority of it will be through the SG&A line. There will be some through the gross margin, clearly with some of the capacity realignment. So sort of think of it, maybe 80/20, 70/30, something like that, SG&A to gross margin.
Operator: Your next question comes from the line of Jim Suva with Citi.
Jim Suva: If I could ask a two-part question and I'll do it at the same time. Maybe the first part is for Mark and the second part is for Forbes. Mark, did I hear correctly you mentioned the sales outlook for FY '17 or your forward year here, you expect it to be up? And if so, can you just help me understand about which segments are really going to drive that, as it looks like kind of Q1 year-over-year, you're starting out a little bit more challenged, with year-over-year declining. And then the question for Forbes probably is, Forbes, on the DMS segment, breakeven now and I believe your goal for that business is quite a bit higher. So are the goals still intact or is that something we should look forward to on Tuesday next week, when we see you or how should we think about that? Because it looks like it's actually performing in line with the EMS operating margins. Thank you. And again, congratulations on 50 years and look forward to seeing you next week.
Mark Mondello: We feel good about 50 years as well. Feels like 350 years sometimes, but anyway. Jim, I don't think I gave any commentary around overall sales for FY '17 and neither did Forbes, I don't believe. What I think we did say is, is that you can get to it, you can kind of get to an overall EMS number. If you think about the fact that I talked about core operating income for the year being up around 5%, 6% -- you want to be conservative in your models, use 5%, 5.5% and I said the margins would be 3.4%, 3.5%. So take the core operating income, divide by the margin and you can get yourself a pretty accurate, I think, revenue number for EMS as we sit today and the way we see the outlook. In terms of DMS, though, we didn't give any guidance at all for the year, nor will we and we might, as we get to the December call, but we'll see how things look. In terms of Q1, Jim, we didn't talk much about overall sales detail, other than to give you a number which would suggest that our DMS revenues are down quarter to quarter, Q1 2016 to 2017 and our EMS top line is about flat. And again, even with that, Q1 2016 was what I would kind of characterize a bit of a blow-out quarter. And I feel really good about the guidance we're offering today on Q1 of 2017.
Forbes Alexander: In terms of the segments, Jim, yes, we'll cover that next week, as Mark said, there was a reference, we're having some of our leads of business present. And we'll certainly give you an overview of that. As we move into Q1, the guidance would suggest it's at the lower end of the range, that long-term range that we've had out there in the low 5%s. But as I say, we'll give you a little bit more color on that next Tuesday.
Operator: Your next question comes from the line of Steven Fox with Cross Research.
Steven Fox: Just in terms of the ramp with Green Point, can you talk about how much of a drag it was maybe on gross margins in the quarter just completed and where you think you sort of get back to being at, what would be a relatively good efficiency rates with the new programs? And then, secondly, it sounds like, if I heard right, Mark, you're not writing down much CNC capacity. So is there plans to reposition that into other types of products or is that still going to be tied to sort of core customers? Thanks.
Mark Mondello: Steve, on your first question, I think our Q4 came in largely as we expected. So as far as a drag on gross margins, I just don't see it that way. Q4 largely was just like we expected it to be. We knew it would be, again, an investment quarter and a ramp quarter. In terms of does DMS ever get back to, quote, normalized margins, let's see what happens this quarter and then again as we move through the year, we'll look at that and we'll talk a bit about that in discussions on Tuesday. In terms of the CNC gear, not going to give you a breakdown of all that, other than to say that there's no volume CNC gear that is anticipated at all in the restructuring. And so, by kind of the sheer nature of that comment, I think it's a pretty fair assumption to think that over the next couple years, we'll continue to have all that equipment well consumed.
Operator: Your next question comes from the line of Sean Hannan with Needham & Company.
Sean Hannan: So it sounds like there's some pretty good optimism around pieces of business within Nypro there and just wanted to see if there is a way to expand on that? It sounds like there's perhaps going to be some incremental business as we build through the course of 2017. So just want to get a better understanding of exactly, how do we think about some of that, how that's ramping and to what degree is this either moderate or step function as we move through the year. Thanks.
Mark Mondello: I don't know if I'd consider it step function, but, yes, pretty bullish. I think in my prepared comments, I talked about healthcare and packaging year-on-year being up 15% on a core earnings line. That's pretty substantial in this environment. So I would read into that bullishness for sure and we've really never broken that out. Maybe as we get to the December call, I can tell you it's starting to become material and we're really happy with what we've built over the last two or three years and where that's headed. We'll talk in depth about the strategy around packaging and healthcare on Tuesday. And then maybe as we move through the year, either the December call or March call, we'll at least start giving you a little bit more color on top line in those areas. But yes, I think your read on that is, yes, not step function but good bullishness around healthcare and packaging.
Sean Hannan: Okay. And then, I realize that you're not providing explicit guidance for the fiscal year in total. Is there anything, however, as you see the consensus numbers, at this point, does it make you uncomfortable? Or is it comfortable on what you know today, but we'll have to see? What do you think about in terms of at least providing us, a little bit of a sense of how you're feeling about that internally?
Mark Mondello: Sean, I give you credit. I'm thinking to myself, how many different ways could they ask about us providing guidance for the year, that was pretty clever. And the answer is, is you've got a lot of information around our healthcare and packaging business. You've got a lot of information around our EMS business and we'll give you better color around the year hopefully in December.
Operator: Your next question comes from the line of Herve Francois with B. Riley.
Herve Francois: So you think and I think you kind of wrapped it up in the previous answer you gave, in regards to the healthcare business because on your last conference call, you talked about some ramping of some healthcare programs I think you had announced earlier this year. So I was just asking, if you can give us an update on how that ramping is going, is it fully ramped? And then, on top of that, I guess just lastly, I didn't really hear in your opening remarks you talking about really any new program wins, like you've done on previous conference calls. Did you have any new program wins worth mentioning on today's call? Thank you.
Mark Mondello: On the program wins, let's wait until Tuesday and I think you'll get a sense of the energy and what's going on. In terms of providing any more detail and color around, again the healthcare and packaging side, I'll again say, that it's an area of focus for us. And as we sit today, we're pretty encouraged by that. So I guess, I'll leave it at that. And again, as we get further through the year, I think it's a fair expectation that we'll provide a bit more color around those two aspects of the business, because they'll start to become more and more material.
Beth Walters: Very good. Thank you everyone for joining us on the call today. We will look forward to seeing many of you next week at our Analyst meeting here in St. Petersburg, Florida. But I'll also remind you that we'll be here the rest of the week and happy to do any follow-up calls that you might find necessary. So thanks again for joining us.
Operator: Thank you for participating in today's conference. You may now disconnect.